Operator: Good afternoon and welcome to Twilio's Q1 2018 Earnings Conference Call. My name is Mike, and I will be your operator for today's call. At this time all participants are in a listen-only mode. [Operator Instructions]. I will now turn the call over to Greg Kleiner, Vice President of Investor Relations and Treasurer. Mr. Kleiner, you may begin.
Greg Kleiner: Thank you. Good afternoon everyone and welcome to Twilio's first quarter 2018 earnings conference call. Joining me today are Jeff Lawson, Co-Founder and CEO; George Hu, COO and Lee Kirkpatrick, CFO. The primary purpose of today's call is to provide you with information regarding our 2018 first quarter performance in addition to our financial outlook for our 2018 second quarter and full year. Some of our discussion and responses to your questions may contain forward-looking statements, including, but not limited to, statements regarding our future performance, including our financial outlook, impacts and expected results from changes in our relationship with our larger customers; our market opportunity and market trends; the growth of our customer base; customer adoption of our products; our momentum; the benefits of our business model; our delivery of new products or product features; and our ability to execute on our vision. These statements are subject to risks, uncertainties and assumptions. Should any of these risks or uncertainties materialize or should any of these assumptions as outlined in our earnings release and the documents referred to in that release prove to be incorrect, actual company results could differ materially from these forward-looking statements. A discussion of the risks and uncertainties related to our business is contained in our Form 10-Q filed with the SEC on March 1, 2018, and our remarks during today's discussion should be considered to incorporate this information by reference. Forward-looking statements represent our beliefs and assumptions only as of the date such statements are made. We undertake no obligation to update any forward-looking statements made during this call to reflect events or circumstances after today or to reflect new information or the occurrence of unanticipated events except as required by law. Also during this call we may present both GAAP and non-GAAP financial measures. Reconciliations to the most directly comparable GAAP financial measures are available in our earnings release, which we issued a short time ago. We encourage you to read our earnings release as it contains important information about GAAP and non-GAAP results, as well as the reasons why we present guidance for non-GAAP financial measures of loss from operations and net loss per share, but not the comparable GAAP measures. The earnings release is available on the Investor Relations page of our website and as part of a Form 8-K furnished to the SEC. Finally, at times in our prepared remarks or responses to your questions, we may offer incremental metrics to provide greater insights into the dynamics of our business or quarterly or annual results. Please be advised that this additional detail may be one time in nature and we may or may not provide an update in the future on these metrics. I encourage you to visit our Investor Relations website at investors.twilio.com to access our earnings release, periodic SEC reports, and a webcast replay of today's call or to learn more about Twilio. With that, I'll now turn the call over to Jeff.
Jeff Lawson: Thank you, Greg. Welcome everybody to this quarter’s call. We were pleased by the broad based strength across a number of areas in Q1, highlighted by strong expansion within existing customers and first time deals with new customers. The investments we are marketing in both the product and go-to-market funds continue to pay dividends with Twilio’s around the globe driving this execution against our strategic plan. Total revenue came in north of $129 million, up 48% year-over-year and now at an annualized run rate for our business of over $0.5 billion, an exciting milestone for us. And the base revenue, the core metric we focus on grew by 46% year-over-year to $117.5 million. The continued value and innovation we are providing for our customers, new and old, is helping to drive their success, which in turn drives our financial results. This success is best exemplified by our $1 base net expansion rate, which came in at 132% this quarter. All-in-all I’m proud of what the team here accomplished, a great start to the year. But we have much more do as we peruse our goal of fueling the future of communications. On the last call I shared our top two company priorities for 2018, continuing our evolution into a strategic software platform for customer engagement, while expanding our position and the developer’s first choice for communications. We made further progress on both fronts in the last quarter, so let me spend a moment talking though some of the highlights. The big announcement from Q1 in the engagement cloud was our unavailing of Twilio Flex, the first cloud contact center application platform that’s programmable at ever layer of the stack. We announced Flex at the Enterprise Connect Conference in March, the contact centers major industry event and based on the reaction from customers and industry analysts, it seemed to be the highlight of the show. So why go deeper in the context center? Because we hear from our customers and prospects over and over that they feel trapped by their legacy solutions, especially large enterprises. These companies have traditionally required tremendous flexibility to customize contact center solutions to meet their unique needs with thousands of agents, the benefits of deep customization getting multiplied across millions of conversations annually. The on-prem solutions of yesteryear allow this level of customization, but with great pain, requiring armies of professional services people, all verst in Accessory Technologies to compete the tasks, and then these bespoke solutions become fragile, difficult to maintain and these are harder to upgrade to modern capabilities. To-date cloud offerings haven’t had the same level of flexibility, and that’s why large enterprise contract centers, largest bill set in our cash [ph] on-prem solutions. The contact center was once thought of as a relatively static asset; build and deploy a contact center and it will live for a decade or more. Who can blame them, the phone call was the only way people communicated with businesses for nearly 15 years, but now it’s moving much faster adding email and chat and SMS and mobile and social media and now even IoT connected use cases, the highly bespoke legacy solutions of old just can’t adapt. In a recent study 40% of contact center managers said that their contact center systems don’t meet their current needs and 80% say it won’t meet future needs and that survey was done two years ago, so that future is now. We are unique in approaching the context center from the view point of a platform. In fact, prior to the launch of Flex, Twilio has already been recognized as a leading contact center provider. We took the learning’s that we have acquired over the years from our large customers to take our products even further. Twilio Flex is the first application platform built to address the needs of the modern context center and scale. By delivering a platform, we bring the reliability, supportability and global scale of the cloud with the complete flexibly that customers previously got by running the application on-prem. Because Twilio Flex is built on our existing super network and programmable communications cloud, it’s very robust, out of the gate. For example, we support the full list of channels supported by our programmable communications cloud. Of course there is voice and SMS and chat and video, but also merging channels like Facebook Messenger, RCS, Line and Alexa just work. TaskRouter provides a sophisticated skill based routing agent, the beating heart of a contact center. Studio, our drag and drop visual application builder enables a broad set of builders within the enterprise, to build, edit, maintain things like Bot, IVR, [inaudible] and more. The developers don’t have to do all the work anymore. Our newest part is the Programmable Flex user interface, which allows developers to build fully customizable agent and supervisor desktops and our partner market place where partner plug-ins deliver speed and flexibility to incorporate new functions, applications, data sources and more. So what does this mean for our customers? They get virtually unlimited customization at every layer; no more Swivel Chair contact centers where there is multiple desktops that every agent has to move between to get anything done, because those systems can’t be integrated. Built with Twilio APIs Flex can be integrated with almost anything. Customers get an instant omni-channle solution. Any channel companies what to use in order to communicate with their customers, either through our platform or through their own channels, they can do. Customers get contextual intelligence, combining the machine learning, voice recognition and intent extraction to our platform where our customer’s data sense allows them to use AI to train models and use that learning to drive smarter interactions over time. Customers get trusted scale because Flex sales up to 50,000 named users per instillation, a level that we believe most cloud solutions cannot handle. Customers get the support of the world’s developers too, with more than 2 million developer accounts in our platform and many millions more with the standard application development skills in the market as a whole. There is an instant critical mass of talent able to implement customer ideas. You don’t need esoteric proprietary training and skills; this is just web development and customers also get a robust partnered ecosystem. Beyond access to our market place and pre-integrated solutions extending the value of Flex, we already have several system integrators in place, from regional players to global partners. With the launch of Flex, we will expand our efforts to start migrating the largest context centers in the planet who want to move the cloud, but couldn’t do it before. A good example of this is Liberty Mutual; we highlighted as our launch customer for Flex at Enterprise Connect. Liberty Mutual approached us, because they wanted to begin migrating their contact center to the cloud. There was no solution they saw that provided them the flexibility they wanted with a modern architecture. So they started to build their own using Twilio’s platform. We showed them Flex and they said, ‘we are in.’ Flex enables Liberty Mutual to launch a fully customized cloud contact center to all of their agents faster than they could have done before with the Liberty Mutual CIO noting that Twilio Flex allows us to move to a more programmable act model that provides full omni-channle capabilities. It’s also important to note that Flex was built with our solution partners in mind. All along their journey in the contact center, some prospects have found that a SaaS application is the right solution for them and we are happy to get the customer on the right partner solution when that happens. We are helping to bring customers and product to these partners. The components of Flex can be embedded by our partners and their solutions, to extend the value of their applications. The goal here is to up-level the whole playing field, as we work with our partners to attack this large market opportunity and help our customers move their engagement capabilities into the modern era. For now Flex is in a pilot program where we are providing a select few customers with early access to the fully scope of functionality. The target market for Flex is very large contact centers, think 1000 seats in all. Most of the components are mature parts of Twilio’s product stack and now we are working to bring the newest components, especially the programmable desktop to parody for a boarder launch. I’m seeing a familiar trend play out as we introduce Flex. Then there has been a certain magic to Twilio. When we show a developer for the first time that they can make a phone ring with a few lines of code, they start thinking of all the things they can now build. With the launch of Flex and the conversations we’ve been having with context center leaders, contact center developers, partners and end users, we are sensing that the same magical feeling. They are finally able to realize ideas they’ve had for years, but that were too costly, too time consuming or flat out not possible with legacy solutions. We believe the migration of the context center market from legacy vendors to the cloud is just getting started. Industry experts estimate that the cloud has only penetrated 10% to 15% of the contact center market. So we have tremendous opportunity ahead of us for further traction in this market and we can’t wait to see what our customers build. In terms of our second priority for the year, expanding our position as developers’ first choice for communications, we had several important announcements in recent months. Our job as a platform provider is to enable communications and customer engagement for our customers, regardless of the channel. One trend we pointed out many times is that communications is becoming increasingly heterogeneous. New apps and devices are gaining popularity, the capabilities of those consumer platforms are in context flex and consumer preferences are chaining rapidly. Most companies have barely begun to leverage traditional channels like SMS and this growing complexity makes addressing these chaining preferences even more daunting. Our product aims to make this landscape accessible to developers and companies with a single API, much like we made the global carrier network easily accessible. We made more progress last quarter on that mission. We were excited to part of Google’s broader rollout of Rich Communications Service, RCS recently at Mobile World Congress. RCS Business Messaging enables businesses to build more engaging, rich messaging experiences, while leveraging the reach of SMS. For example companies can utilize RCS to send branded messages, share rich context like boarding passes, include carousals for scrolling through product images, suggest replies and actions and gain insight into how messages are performing with accurate reader receipts and click through data. With Twilio developers can use one EPI to deliver the best messing experience for each end users. This is a central point for many of our customers, including 1-800-Flowers who is able to quickly extend their use of our messaging products to include RCS support. They now use RCS to enhance their customer experience by allowing customers to modify orders, track shipments and place additional orders all within the message. By using our platform, all with the same AKI we could help customers like 1-800-Flowers determine which customers are capable of receiving messages in the appropriate format to maximize the experience for each of their customers. More recently we also expanded our channel capabilities even further by announcing support for LINE as well. We will continue to build support for these channels as they emerge to help our customers navigate through the chaos and deliver the best customer experience possible. We also announced that our programmable wireless product has moved into general availability. Once again, we are cracking open a market that has historically been largely inaccessible to developers, wireless networks and we made it easy for developers to get up and running quickly. The internet of things market is expected to enable billions of new devices to be connected to internet, but providing this connectivity to the broader market has been restrained by carrier business practices that aren’t supportive enough of innovation. In order to get billions of devices deployed, we first need millions of developers to being experimenting. While on beta we’ve seen companies from a variety of industries, like connected cars, fleet tracking, wearables, medical device diagnostics and more take advantage of our developer friendly API First platform to begin building IoT solutions. And while still early in its evolution, we are devoting significant resources to our programmable, wireless efforts, given the potential to unlock yet another massive platform opportunity for the company and continue to open new possibilities for the developers of the world. Overall I continue to be very pleased with our performance as we are executing against our strategic priorities across the board. We remain in the early stages of a massive opportunity and as we execute on our platform strategy, we continue to unlock more and more of this market. With roughly half of our headcount in R&D, our investments in innovation are extending the value of our platform and the success we are driving for customers even future. We remain committed to leading this market from its legacy and hardware to its future in software. Now, let me turn the call over to George to highlight some of the interesting ways customers are using our products and also to discuss our progress in the go to market front. George.
George Hu : Thanks Jeff. Our go to market model continues to build momentum. We are engaging customers, developers and the market like never before with increased capacity and strong productivity across all go-to market functions. Our Starter point [ph] is continuing to engage developers where they are to fuel our inbound interest and demand. Our developer of agilest participating in over 90 events globally in the first quarter along. One top of that we expanded our own Twilio Engage Roadshow at Superclass where we bring developers and business decision makers together to key cities including Atlanta, Dallas, Minneapolis and Chicago. These events continue to be very successful in evangelizing the full breadth of Twilio’s capability to our customers and we plan to continue investment in this program. As Jeff discussed, perhaps the highlight of the quarter from a marketing perspective was the launch of Twilio Flex at Enterprise Connect. Not only was this launch tremendously successful in terms of generating customer interest, with Flex we also saw a strong level of interest from partners, including launch partners like Accenture, Cognizant and Tech Mahindra. We believe Flex will be a key way to attract and build our SI ecosystem and also platform that many of our solution partners build on as well. All of these go to market efforts where part of a strong Q1 for the go to market team. I would like to highlight a few of our significant enterprise transactions that highlight the diversity and unique capabilities of the Twilio platform. The first few relationship I’d like to highlight is Marks & Spencer, a global 2000 retailer. This was a significant transaction where we were selected for the next generation intelligent IVR, using Twilio programmable voice, speech recognition, natural language understanding and intent analysis. The Twilio solution enables Marks & Spencer to evolve from a static IVR and it simply forwards call to stores into an intelligent flexible IVR that could analyze the voice of the customer in real time. Another significant deal is with the cross boarder division with of a fortune 100 logistics company. Combine the power of the Twilio engagement cloud, Twilio Programmable Communications. This customer used Twilio Account Security across one click checkout, merchant and development portals and several other workflows. The customer also used Twilio Programmable Messaging, a voice authentication across several use cases, including billing alerts, shipping notifications and access verification. In being selected for this project we leverage our past success with other visions of this customer, including long time Twilio fans with the DTO and developer teams. The customer also attended signal last year to connect with our team and solidify trust in the platform. We also launched a new project with the Veterans Affairs Medical Center, the VA is currently in the midst of a patient service makeover and they have secured funding to improved care and communications with an estimated 20 million veterans across the entire VA system. One way to drive efficiency is through patient reminders and doctors appointments. Jeff has talked in the past about their growing rule of developers at organizations of all types and the VA is no different. One of the doctors in the origination is also a software developer and he was instrumental in bringing Twilio in to address their needs. The VA is in the midst of rolling out an application that sends appointment reminders via SMS to their patients, replaced with a manual phone call in process. By reducing no shows the VA hopes to improve customer service and treat patients more quickly and we couldn’t be more honored at Twilio to be a part of this process. Finally, we closed a major transition at a top five U.S. cable company. They recognized the cable industry’s poor reputation for customer care and looking to be the face of disruption by selling at customer engagement. After attending Twilio Engage New York, this company is determined that they can use Twilio in their new eService application, to be able to intercept and score all customer interactions, providing a self service channels or a live agent chat, improving customer satisfaction. The company’s enterprise agreement will enable them to access key Twilio products like TaskRouter, Programmable Chat, Studio, Functions, Enterprise Plan and more. This transaction highlights the power of the full Twilio platform, as well as the impact of some of our newer go-to-market investments. So to close, I’m proud of our team for delivering such a strong quarter and I’m excited in our momentum as we continue to build the go-to-market engine that can help Twilio scale to $1 billion and beyond. Let me pass the mic to Lee to discuss our financial results.
Lee Kirkpatrick: Thank you George and good afternoon everyone. The invitation go-to-market approach Jeff and George outlined earlier continues to drive customer success, which in term fueled our revenue growth. Base revenue grew 46% year-over-year in Q1. Excluding Uber, base revenue grew 61% which is consistent with recent periods. A dollar based net expansion rate was 132% on a reported basis and without Uber it was 145%. The increase in our expansion rates over Q4 was driven by growth across the breadth of our customer base and reflects the power of our platform business model. Our top end active customer accounts raised 2% of revenue in Q1 2018 compared to 25% in Q1 of last year. In this quarter, WhatsApp came in at 7% and Uber at 4% of total revenue. We had six variable customer accounts in the first quarter, flat sequentially and compared to seven in the first quarter of 2017. Moving on to gross margins, Q1 results came in at 55%, up from 53.5% in Q4. As discussed since the IPO, we remain focused on doing the right things to grow the business long term rather than maximizing gross margins in the near term. As we walked through it at the Analyst Day, our gross margins can fluctuate from quarter to quarter based on multiple factors, including product, country and customer mix. We should expect gross margins in the range of the last few quarters of the remainder of the year. We ended the quarter at 1027 employees. As you contemplate our values for the balance of the year, please note that we lapped a partial part of the Beepsend acquisition in Q1. Starting in Q2 our year-over-year revenue growth will include the full impact. Also as mentioned in our last call, we expect operating breakeven in Q3, the similar results in Q4, a signal will now occur in October. So to wrap-up, we are extremely pleased and delivered another quarter of strong results and continued execution. Our powerful platform model, continued product introduction and successful go-to-market effort positions Twilio for continued high growth in the future. Operator.
Operator: [Operator Instructions]. Your first question comes from Mark Murphy with JPMorgan.
Albert Chi : How is it going guys? Congrats on the quarter! This is Albert Chi on for Mark Murphy. For Flex you mentioned now you are targeting the largest contact centers with 1000 seats and above and so one, have you talked about pricing and do you see any reason why Flex wouldn’t be a wall to wall deployment. And I guess second, what vendors are you typically running into and replacing with Twilio Flex, knowing that you are still in the early stages of that?
George Hu: Hey, Albert. Thank you for the question, this is George. Yeah, we are very excited about Twilio Flex. We are definitely seeing a lot of interest. You know there is certainly no reason why it cannot be wall to wall for us within the contact center and we are definitely talking to companies about those types of opportunities. In terms of pricing, we have not announced pricing yet and we are continuing through the beta period to learn more as we work with customers and we’ll announce it before GA.
Albert Chi : Got it, and just one more follow-up. So, I am looking at the fiscal year guidance rates and not to read into things, but it looks like on a percent basis that you’re revising the variable revenue to contribute. It looks like one point higher than previously, but looking at the beat in this quarter came from mostly the base customers. So I am wondering if there is anything on the large customer side that is worth calling out for the rest of the year. Thank you.
Lee Kirkpatrick: Yeah, hi Albert. This is Lee. So I mean in general you know we’re pleased with the results and you know we had strength across the overall breadth of our business. You know regarding variable revenue, it’s in that category for a reason. So you know some of that guidance flow through the year with over performance in the first quarter and as always you know we focus that conservatively on an outward basis.
Albert Chi : Got it, thank you. Congrats again!
Operator: Your next question comes from the line of Richard Davis with Canaccord.
Richard Davis: Hey, thanks very much, just two quick questions. So one, I was like in Europe last week and there was a lot of talk not surprisingly about GDPR. How are you guys fitting into that you know regulatory dynamic. I mean some companies are offering consent you know paying back and stuff like that, APIs and stuff like that and then the second one is just you’ve touched on it before, but there is a lot of talk about interactive bots and using balance and not sure whatever. To what extent is Twilio a core technology in that eco-system, so GDPR and Bot. Thanks.
Jeff Lawson: Yeah, thanks Richard, this is Jeff. Regarding GDPR, GDPR is something we’ve been investing in for quite some time. We actually announced its signal in London last year that we have spent full compliance with GDPR of the May 25 deadline and we are currently forwarding it towards that and expect to meet that compliance. We know that’s critical obviously for your PN customers that were a leader in that, but we also believe that taking the leadership role in data stewardship for all of our customers is critically important and then every customer, no matter where you are in the world is going to expect a great degree of care obtained to every piece of customer data that you handle and so we’re treating that standard as a global standard for all of our customers. And second, with your question around Bots, we’ve had a number of Bot implementations built on top of Twilio whether via SMS, via chat. Our Understand product, Twilio Understands that we announced last year is designed to power those types of interactions when we got customers building those types of interactions on top of Twilio. As a quick refresher, Twilio Understand is a natural language understanding engine that allows you to take the things that a customer says or writes and turn it into the intents behind what they said, so that a developer can write, can programmatically write the answer to a question. The first step to answering your question is, understanding what the meaning of the question was and so that’s what naturally what understanding is and that’s what our Twilio Understand product is. That product is still in the early stages, but we’re working with customers and getting great feedback and we are very confident that that’s going to be a great product for us.
Richard Davis: Great, super helpful. Thanks.
Operator: Your next question comes from the line of Bhavanmit Suri with William Blair.
Bhavanmit Suri: Hey guys, thanks for taking the question and congrats! Let me add to that too. Just first starting on Flex maybe a little bit, just you talked about some of the partners but sort of just some sense of how the partner channel is playing out there? Have you seen any deployments of the partners of LED. I know its early, I know it’s still sort of in beta, but sort of you know are the partners thinking about what they are going to do with call centers in this new omni-channel sort of world through digital transformation. Like how are you seeing the partner interaction there and sort of as you think about reach, how does that play out? Just some sense of the partner activity in that channel?
Jeff Lawson: Yeah, great question. We’re definitely seeing a lot of inbound interest from partners. We’re talking everyday honestly to the existing Cisco, Genesys and Avaya resellers that are trying to figure out how do they move to the cloud and to the next generation contact center infrastructure. And I think you know the starting point for us we’re working with some of these partners right now and getting them trained on Flex and you know figure out go-to-market models with them together. I think it’s really exciting time, but really early days for us, but we’ve seen I think a level of interest driven by Flex that we really have not seen before from FI’s and I think that’s a big opportunity for us, mostly going after the legacy base of you know the old venders.
Bhavanmit Suri: Got you, got you and then a quick follow-up on all my questions, sort of on the long term strategic nature, but [audio gap] there’s two sets of partners, the guys who implemented, but as the IoT guys that are sort of saying I’ve got all these systems, I’ve got all these devices. I’ve got to sort of figure out how to embed applications around that. I’d love to just a little incent, a little more color, sort of who are you seeing playing there and what does the partnership channel there look like? Is it a combination of FIs for guys like GE, and so what’s in the reception to the product from those guys?
Jeff Lawson: Actually Bhavanmit, this is Jeff, I‘ll answer the question. I think that our offices for wireless is that if you’re going to connect billions of devices to the internet over the coming years you’re going to need millions of developers to be doing that work. In the same dynamics that have played out with voice and with SMS where we built a super network, gave the developers, let them get started, we’re throwing a little friction and then be able to experiment with their ideas and if experimentation is the pre-requisite to innovation, then we wanted to bring that same product philosophy to the world of IoT and to the world of wireless connectivity and that’s what we’re seeing play out. We’re seeing developers pick up Twilio Wireless. You can get started with a few dollars. I think its $5. You get a starter with [$0.02 or $0.03][Ph] and kind of anything you need to get started and to get building, and that’s contrasted with the legacy business model of you know getting excited over connectivity for one of these use cases, which would be a long negotiation period, long sales cycles and you know big committed contracts to a carrier to already get started and we just feel that lowering the barriers to innovation, making it easier for a developer to see their ideas play out and testament customers is actually the key to having that innovation for us on top of Twilio. Now regarding the partnership opportunity, we see personal carriers as big partners in bringing this product to market. We have obviously launched it with T-mobile as our launch partner in the United States. We see interest from other carriers around the world as well. We also see other companies that are hoping the IoT development ecosystem flourish as good partnerships like people make hardware and things like that and obviously in the past quarter we actually announced a partnership with Singtel in Singapore as well, a similar type of relationship. And so we see a lot of opportunities to help point to a wireless in the hands of the world’s developers, whether that’s a go-to-market, that’s in partnership with carriers around the world who want to accelerate innovation on their networks, also via the hardware companies that are helping the developers get started with their prototyping on the physical side of it and I am sure there will be more to come.
Bhavanmit Suri: Got it, that’s helpful Jeff. Thank you guys. Congrats!
Jeff Lawson: Thank you.
Operator: Your next question comes from the line of Nikolay Bykov with Bank of America/Merrill Lynch.
Jacqueline Cheong: Hi, this is actually Jacqueline Cheong on for Nikolay. Congrats on the quarter. One question that we keep getting from the investors is how growth margins are impacted by the mix between customers of different sizes and as more of the business comes from larger customers that get a volume discount, how does that impact gross margins?
Lee Kirkpatrick: Yeah Jacqueline, this is Lee. So gross margin is impacted by multiple items, given one of those items is customer size. As the customers get larger we do give them volume discount, so that you know they can get a better price as they grow in scale. You know we offset this with S&P gains and product mix, specifically our application software. Application certainly has a higher margin profile.
Jacqueline Cheong: Okay, thank you, that makes sense. And can you also give us an update on application services revenues. What percent of the mix were they in the quarter and what was the growth rate in kind of – in three to five years what percent of total revenues could come from application services revenue.
Jeff Lawson: Yes, I mean application services were up sequentially on the quarter and did grow well above our corporate growth rate. That’s a metric that we’ll give out just on a periodic basis as we achieve milestones, but we do expect it to grow significantly faster than our overall corporate average over time. We haven’t released any specific targets yet.
Jacqueline Cheong: Got it, and if I can just sneak one more in, what drove the higher free cash flow number this quarter?
Lee Kirkpatrick: Yeah, that was really just working capital changes. So just some timing in terms of some higher recruiting expenses, some delays in payable and we expect that to revert and normalize in the next quarter.
Jacqueline Cheong: Got it. Thank you so much.
Operator: Your next question comes from the line of Brent Bracelin from KeyBanc.
Brent Bracelin: Thank you for taking the question. I want to drill down into a couple of different areas, maybe starting with Jeff or George around the base new customer adds. 5000 new adds this quarter. I think that’s doubled the number of net adds last quarter, kind of record numbers there. What drove that expansion in the quarter? Is it triggered by rolling out the new programmable wireless API, is it better sales productivity, help us understand that base customer ads there, what drove that in the quarter?
George Hu: Yeah, you know this is George. You know typically Q1 is seasonally a strong quarter for us for customer adds. I think it’s generally a reflection of the fact that we are engaging more with our customers and developers that signed up and I think we’re seeing that show up in the numbers. So its overall I think a reflection of our go-to-market investments plus the investment we’re making in developer acquisition and evangelism, but I think some of it is also driven by seasonal strength.
Brent Bracelin: Got it. So seasonality sounds like quite a big factor there. And then if I look at the net dollar expansion rate, that has been kind of declining for I think the last six, seven quarters. You got a nice reversal that accelerated this quarter. You know on one hand you had WhatsApp that certainly helped and on the other hand you had Uber that kind of washes that out. So what drove the net dollar improvement this quarter? The magnitude of that looks pretty impressive. Was it broad-based expansion at existing customers, was it just a handful of larger customers that float into the mix, help me understand what were the contributing factors there on the net dollar expansion number?
Lee Kirkpatrick: Yeah, hi Brett. This is Lee. Just for clarification we measure that on base revenue only, so WhatsApp is not part of calculation and if we look at that expansion rate ex-Uber it has been very consistent over the last five quarters. So some of that drop was just us lasting the impact of Uber. To the second part of your question, you know we saw strength across the overall customer base from the long tellerwave to our large customers and you know that overall strength resulted in the increase in the expansion rates.
Brent Bracelin: Great! Last question for me is, I must take one in here for George on the top U.S. cable provider. I can’t let you off without asking a question on that. What was the bundle again as you think about that and how fast was the turnaround there? You talked about that engaged relationship in New York and then striking that relationship, how long did that deal take to close and remind us the bundle and did you say a dollar size for that deal?
George Hu: We do not have a dollar size for the deal. We had our New York engage I believe in early December of last year, so that will give you a sense of probably the timing and obviously we closed the transaction in Q1, so we’re talking several months engagement cycle. In terms of the bundle, it’s an enterprise agreement for us so it includes access to a broad portfolio of our software technologies focused really around voice technologies, including task router for chat studio functions enterprise plan and these are all things that are part of our you know early related sort of strength in this opportunity region contact center.
Brent Bracelin: Very helpful. Thank you.
Operator: Your next question comes from the line of Pat Walravens from JMP Group.
Pat Walravens: Oh great! Thank you very much. So George when I saw you at our conference in February you were talking about how your number one priority was doubling down on protocare and resources and the productivity numbers looks fantastic. So I would just love to sort of get an update for how you feel about those?
George Hu: I think that our strategy is we’re still on track with that strategy, so we’re still hiring people. The productivity is strong and I think that we’re seeing that strength in the numbers.
Pat Walravens: And, are there any particular places where you see it more than elsewhere?
George Hu: Honestly we’re growing across multiple segments geographies. So we’re growing both in our commercial segment and our enterprise segment; we’re growing in both the U.S. and international and we’re also seeing strength across all the segments.
Pat Walravens: Okay, great. Thank you.
Operator: Your next question comes from the line of Brian White from Monness Crespi.
Brian White: Yeah, I am wondering if you can talk a little bit about how big you see the TAM for Flex and specifically when it’s going to GA.
Jeff Lawson: Sure, this is Jeff. The TAM for the contact center, essentially you’ll see numbers that do have a wide spectrum generally in the tens of billions of dollars from the low demand and sometimes from mid to high. I believe the reason why you see a spectrum in this, because sometimes they included just the software or just the hardware or just the connectivity components of that end. What’s interesting about Twilio is that we really being all, every component you use in that contact center and so you get the voice minuets, the SMS, the Chat and the software and the management and sort of all in one from the benefits of the cloud. And so you know we think this is a sizable gamble though when you do, you know part of the research of writing answers you get which can be a little confusing. As far as, although the second part of your questions, what was it?
Brian White: When it is going to go GA?
Jeff Lawson: Yeah, we are expecting to bring it to GA this year. I’ll remind you that a bunch of the aspects of Flex are actually already mature parts of Twilio stack, including our voice product, our TaskRouter, our Interconnect, a lot of the pieces that you need for a call center are parts of Twilio and already GA and then the parts that were newly introduced for the most part is the Agent Desktop and the Supervisor Desktop and those are the parts that we are busy right now bringing the maturity, as well as bringing the whole bundle together for our customers and we are working with a number of customers already and we’ve gotten great feedback and we look forward to I guess continuing to get that product out to more and more customers throughout the year.
Brian White: And Jeff, you have a lot of new products ramping this year. If you could just narrow down maybe the two or three new products that will have the more meaning impact on Twilio this year?
Jeff Lawson: Well I think we are excited about many of our new products. You know I think Flex certainly we are very excited about having gotten out the door and then in the announcements back in Q1. The response we’ve gotten from customers and from partners and from the market overall, analysts, it has just been really fantastic. I think we have really understood a customer paying point from our perspective as a platform that the market has not yet seen and so we are very exciting about Flex. Although I say we need to get the product into customers’ hands, we just announced it and so will it have a huge impact on our numbers this year, probably not, but we are very optimistic about the power that that product can bring to the table. Other products we are excited about are just the Twilio Wireless. We are very excited to get that into GA in Q1 and again, this is a huge market and a very large opportunity with IoT and I feel like we are just at the tip of the iceberg now with the opportunity that IoT represents, both globally as well as with Wireless itself has it gotten to GA and getting in the hands of an increasingly large set of customers.
Brian White: Great. Thank you.
Operator: Your next question comes from the line of Will Power with Baird.
Will Power: Yeah, great thanks. Yeah maybe just coming back quickly to the first quarter, you know obviously know strong numbers, it sounds like it was broad based, but I wondered if there was any more color on kind of sources of upside relative to expectations, whether its application services versus SMS or Voice. And then the second somewhat related question, I wondered if we can get an update on kind of the international domestic split. I guess companies based on whether domiciled and what those kind of respective growth rates look like. Thanks.
Lee Kirkpatrick: Yeah, I will, this is Lee. So as I said earlier, we saw strength across the broad breadth of our customers. I mean one of the beauties of our model is we work very hard, invest a lot of money and sales effort to mark our customers successful and then when they are successful and grow we share their success and we saw that in the first quarter. In terms of your second question, our international spilt of business for our company headquarter outside of the US was 24%.
Will Power: Okay and any update on just what the growth trajectory looks like for those companies versus domestic companies?
Jeff Lawson: Yeah, I mean international growth rate is faster than our U.S. growth rate.
Will Power: Okay, thanks.
Operator: Your next question is from the line of Stephen Bersey with MUFG Securities.
Stephen Bersey : Hey thanks. Just wondering for Flex, it sounds very interesting. I am just wondering how that might impact gross margin going forward? Will that require a bunch of new gear or will Flex simply leverage your existing infrastructure? Thanks.
Lee Kirkpatrick: Yeah, this is Lee. So there is two components to Flex, so there is a pure software component, that will be a higher gross margin profile and then also there will be a significant pull-through of our programmable services which is the current gross margin profile. So in the long run we do see that as a positive uptick on the gross margin.
Stephen Bersey : Great and then I guess regarding Flex and the beta program, can you comment around maybe the number of beta participants in that?
George Hu: This is George. So [Audio Gap] our volatility focused beta program. We are talking double digit, not like thousands of people in the beta program. This is going to be focused on higher end customers, larger customers and for the beta program we will have smaller numbers in it.
Stephen Bersey : Great, thanks guys.
Operator: Your next question comes from the line of Catharine Trebnick with Dougherty.
Catharine Trebnick: Thank you for talking my question and congratulations. Any particular color you can put around what your average each customer and what’s the average sales into that customer. Particularly interested in between this quarter and last quarter if you could categorize that for us? Thanks.
Jeff Lawson: Yeah, I mean you know one way to look at it is our ARPU. So our ARPU for our beta customers was $9,100 on the quarter. That is up. It was actually $8,800 over the prior quarter and we’ve seen that ARPU growth rate grow consistently. If I go back to Q1 in 2015 it was $5,700. So that is an important driver of growth as we scale our business and with the higher expansion rate bringing on new products. We do see that in ARPU growth rate expand.
Catharine Trebnick: Alright. Thanks.
Operator: Your next question comes from the line of Jonathan Kees with Summit Insights Group.
Jonathan Kees: Great. Thanks for talking my questions, and then I’ll add my kudos to the quarter, to the results. My questions are on LINE. It’s great to hear that [inaudible] LINE and you have accessed that to the users in Asia. Just curious how much of your revenue driver would that be. I know that you also had a Facebook Messenger, maybe take a step back looking at the messaging apps in general. Second, I have a question about...
Jeff Lawson: Jonathan, could you repeat that question please?
Jonathan Kees: Oh sure, sorry. I wanted to know how much of a revenue driver, if any – excuse me, LINE will be. I know well maybe the thing is just taking a step back and looking at the messaging apps, because I also know that you have a support for Facebook Messenger, a connection to Facebook Messenger. Is that – that type of connection, does that even move the needle in revenue? And then I have a second question about Flex?
Jeff Lawson : Yeah, absolutely. This is Jeff, I’ll answer the question. So this is still the early days of the adoption of a lot of these new channels. We are very excited about the opportunity these channels presents as we see our customers struggling to figure out which channel they should invest their development energy and which ones their customers are also going to want and we see it as a big opportunity to help them to adopt those channels and to write against once side of APIs and let them work everywhere. As far as the revenue, to-date while these have been in beta periods we have not been charging customers. Really learning about the use cases and understanding what customers want out of the product as well as what challenges arise when you are done doing these new channels. But if you look at the rest of the opportunities you know I think that it will all depend on the channels and depend of the use cases. If you look at Flex for example, omni-channel capabilities are one of the key selling points of Flex and in that when we are able to show customers that, would you install Flex, it will actually work over chat, SMS, Facebook Messenger and LINE seamlessly; well that’s the big selling points. But you end up monetizing Flex as opposed to the channel itself. So I think that based on the use case and based on the channel there will be different monetization strategies. But it is the early days of the world figuring out how these new channels will play out and so we’ve just been in the mode of listening to customers and working closely with customers to understand how they intend to use these channels and how their end users want to use these channels.
Jonathan Kees: Okay great, that makes sense. My second question was on Flex. I know you are still in beta with that. You are talking about getting some partners working with the feedback on the on-premise guys. Just curious if you talked about or can you talk about reaching out to the Ecast guys, having them as partners. I mean a lot of the [Ecast] [ph] guys have partnered with the contact center provider. Have you thought about using them as an SI; are you trying to reach with enterprise customers, the developers of enterprise companies. Thanks.
Jeff Lawson: I wouldn’t rule it out. We see a wide variety of partnership opportunities with Flex given how programmable and flexible and extensible it is.
Jonathan Kees: That’s one part, as a partner.
Jeff Lawson: Anything is possible.
Jonathan Kees: Okay. All right, thanks.
Operator: There are no further questions at this time. Thank you for participating in today’s conference. You may now disconnect.